Operator: Good morning, ladies and gentlemen. Today is Monday, March 19, 2012, and welcome to the Butler National Corporation Third Quarter and 9 Months Fiscal 2012 Financial Results Conference Call. [Operator Instructions] Your call leaders for today's call are Jim Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. I would now like to turn the call over to Mr. Jim Drewitz. Mr. Drewitz, you may begin. 
Jim Drewitz: Thank you, Erica, and good morning, everyone. Before Mr. Stewarts collectively begin, I would like to draw your attention to, except for historical information contained herein, the statements in the conference call are forward-looking and made pursuant to the safe harbor provisions, as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures.
 The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances.
 Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption, Risk Factors, in the company's annual report on Form 10-K filed with the Securities and Exchange Commission
 With that completed, I'd like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark Stewart: Thank you, Mr. Drewitz. Good morning, ladies and gentlemen. We appreciate you joining us here this Monday morning. I do have Craig here, President of Aerospace to answer questions about the Avionics and Modification business. If we can't handle them otherwise, he can bail us out. 
 So the third quarter was what we would call a good quarter, a very uncertain economic situation with military and the economy and all the other things, and we continue to have strong growth and a strong balance sheet and strong profits. And we continue to build our brand and our international presence and even our regional presence here in the casino business and the airplane and Avionics business.
 So we're pleased with that. Our income is strong, and we've improved from $30,000 a year ago to $568,000 this year, which we're pleased with that. Our revenue is up about 7% versus a year ago, and that is not as good as we'd like. We'd really like 10%, but we haven't got that to report to you right now. 
 And so we look at all the numbers in the 10-Q. I'm sure you've looked at those one item, of course, is we added an intangible asset that we probably need to discuss a little bit and that is the -- in the original construction of the casino, we started out to do it all build-to-suit, which we did do it that way. That's how that was financed. And the landlord, of course, owns land building and majority of the assets. As a part of that build-to-suit, there was a second package that had the intangible management -- not management, the privilege fee in it and a number of gaming support equipment and other miscellaneous stuff that really was intangible because it's not on the state's books. We can't have it necessarily on our books and so it's kind of in a never-never land. We've agreed with our noncontrolling member that we would begin payments in March of 2012 on that particular package and bring it over to the joint ownership of the BHCMC, LLC, which is the casino operating company and the management company, I'm sorry, it's not really the operating company, it's states operator.
 So we bring that over there and so essentially we set up 2 intangible packages. One, consisting of the privilege fee we paid to the state when the lottery selected us as a potential candidate to be a manager. And the other one, a 5-year package of the gaming sport equipment and other miscellaneous items and costs and so on that are all intangible items. And we set those up over a 5-year period. We set the privilege fee up over the remainder of the contract period which is 13 years. So we have 2 intangible assets on the books as the accounting as a capitalized lease because the real value of whatever that is, does not really transfer to us until the end of the 5-year period from an accounting standpoint. 
 We, of course, have imputed interest that goes along with the capitalized lease. So that the payments, when we make the payment, which we originally planned as I told you in March. And if you look at your 10-K that we filed for fiscal year end 2011, you will see in that lease payment schedule that it goes up by approximately $180,000 a month beginning in March 2012. 
 We accelerated that payment because our cash flow was a little better than we thought it was going to be, and so we accelerated that payment and began making that payment in January. And therefore, we recorded all this activity in the quarter ending January 31. If we had stayed with the -- what we show as the lease payment, well, it is the fact the lease payment, except it turns out the real lease payment is $176,000 instead of $180,000 per month. So it's a little bit less because we accelerated it.
 The difference on that income, as a result of the capitalized lease, is about $12,000 a month, more income to the casino in the early years and less in the years '08 through '13 -- no, year -- is that  right -- no, '08 through '15. So the -- that's about $35,000 a month is the amortization of the $5.5 million privilege fee, which goes through the end of the contract. It's -- and the remainder is the typical capitalized lease over the 5-year period for the gaming sport equipment and other miscellaneous stuff. So that's going to be the effect -- the whole net effect of the whole transaction after -- on Butler National Corporation consolidated books before tax will be about $200,000 a quarter. So that takes out the noncontrolling interest and that's a before-tax number.
 So that is the effect of what that is. It's been planned all along and there's nothing new here. The only real change that we've made in the old deal since we started is we have decided to call minority interest, noncontrolling interest and we didn't make that decision, the accounting people made that decision. So you see it now called noncontrolling. And that is the 40% of income interest that our noncontrolling member has. 
 So with all that, that tells you why we had this approximately $7 million increase and $7.4 million increase in assets and a little less than that increase in liabilities. But basically, that's the transaction and we'll answer -- we'll deal with questions on that later. But I want to make sure we got that when we're looking at the assets and the remainder of the items. So that's your long-term obligation increase. That's also your total asset increase that's showing in the press release. It doesn't really affect the weighted average shares, doesn't impact R&D. So we're pleased that we're continuing to grow in the stockholders' equity. You can see from a year ago the same quarter we're up almost $2 million. Three years ago, we're up $5 million and that -- we're proud of that. We like to have continued long-term trend.
 So we think the third quarter has been good. We think that the trend is very good and the profit is -- continues to grow, which we want it to grow. And so we have a strong positive trend. We quarter-over-quarter increases in income and we're happy with the overall business, I believe. We'd always accept more income, but we're happy.
 Aircraft Modifications have been solid for the past quarter, actually, for the past 4 quarters. As you can tell by the quarter-by-quarter analysis, the variation is substantial from one quarter to the other depending on when the airplanes come in, when they're completed with all of the cycle of the business is reflected in the last 4 quarters, except that same cycle applies to 5 years, 4 years, whatever you look at. Our objective here is to have the trend in the profitability to continue to grow as time passes. And we've started that 5, 10 years ago. We'd said that's what we better concentrate on because the thing is volatile. 
 The same thing is true with Avionics. And our turnaround there, we're pleased to show that turnaround. We've had 3 quarters of losses and now we have a quarter of profits and we continue to do that. We must remember in the Avionics business, especially the Arizona base, Tempe base, that's really driven by a lot of military and special missions. Worldwide, that is somewhat political item and depends on the political economy in the United -- or the economy in the United States, the politics, the policies, the deal with where we're going to spend the public money and then also how much subsidy and support we're going to provide to the foreign governments and the foreign governments' need for special mission equipment. We believe that trend continues to be up and it is strong and we're pleased with that. And so the Avionics that we see that is a part of that in Arizona is relatively flat, but we got a turnaround where we make a little money on it. 
 We hope that it will turn around and get stronger, but we don't know the situations. We're trying to offset that by our retail operation in the Avionics world in the repair and overhaul that we'd acquired at Kings a year ago, I guess 1.5 years ago now. But we are trying to expand that and actually calling on customers and having a positive impact on the level of activity out there. That's going to continue to improve over the next 3 to 5 years as we emphasize the repair and overhaul and expand  the product line. 
 So we're -- do you want to comment on that at all, Craig or am I covered? 
Craig Stewart: No, the -- from an Aircraft Modifications standpoint, the strong trend is that we continue to grow that business year-over-year and the profitability is solid. We had a little down quarter in terms of operating profit, as well as sales. But I think that's part of the business and hopefully, going forward, we can continue to try to smooth that out to where we aren't quite as lumpy as what we've been in the past. In Avionics, we're excited about the fact that we have returned to profitability on our Avionics segment, and I think there's strong potential with Kings Avionics from new products that we hopefully will get to market in the near future, as well as increasing the awareness of Kings in the repair and overhaul business. 
Clark Stewart: Thank you, Craig. The next item that we ought to talk about is the Management Professional Service business which includes architecture, the management fees, the casinos, the monitoring service. In Florida, we are -- operating profit for the quarter there is approximately $250,000. And we think that, that's strong recovery from the previous quarters. The architects are busy. The -- of course, the management fees from Oklahoma from the Indian casino is relatively stable. And Florida's looking for thunderstorms, but not really. The facts are the business is rocking along as it always has fairly strong and we're getting contracts. There is always competition and so that business is subject to the forces of the market, as all competitive businesses are.
 Casino operating profit for the quarter was $1.4 million, previous quarter $1.3 million and of course, that's a -- continuous trend is up. We expect that to continue to go up as we move into the summer months. We won't have a good year-over-year comparison there until we get to the middle of the summer, and we can really evaluate how much affect the marketing program have been -- programs have had on our market share out there and expanding net market. Our spend per person and all that kind of thing continues to grow a little bit, and that's what we have to do as the casino moves into its third year of operation. 
 We knew we were going to have some growth in the first year and we've experienced 10% to 15% depending on which number you look at. We probably will not experience 10% to 15% next year from the same comparative base. Now when we add the new hotel that's just opened on May -- or March 16 to the mix and we add the expansion of the Phase 2 machines and extra facility to the casino itself, to the physical plant, which should be open by 1 year from now completely, partially this May, partially next September and complete by March and April of 2013. That's going to add another ingredient. 
 We've also -- as we all know, we're in the oil and gas industry out there. There's a great deal of activity southeast to Dodge City in the oil and gas well development. That's going to add a short-term bump in the number of potential customers in the area. We're not sure how much. As far as long-term effect, probably you'll have higher income to the landowners in that -- in our trade area. 
 The next major item will be the growth of the destination area around the casino, which will include retail and service industry type companies that, from time to time, will add major numbers of people to the community and also draw many additional customers to the destination that we currently don't have. 
 So I think that is about all we can say about that, except that there's a lot of things that will continue to push the growth pattern of the casino outside of the normal pattern of open year 1, have a 10% increase year 2 and 3% to 5% increases in year 3 on as inflation occurs. So there's a lot of factors here that influence that growth and we're adding to those other factors and the community's adding and obviously, the oil and gas industry is adding. So we're really positive on that and think that's going to grow considerably.
 So our overall belief here is that Butler is a growth company with a strong growth story. And our revenues are up and hopefully, our profits will stay up and hopefully, the economy will stabilize and people will be comfortable. Expending entertainment dollars in Dodge City and tourist dollars in the destination. So that's where we are. We think that our aviation business is strong and we're going to -- we're working hard to keep it strong. So the trend is up and we're happy and think things are going pretty well. 
 So Jim, I think -- Craig, do you have anything else? 
Craig Stewart: I would point out that, in addition to the organic growth, we're continuing to actively look for potential growth in the aviation side of things through merger and acquisitions. So we'll continue actively working on that and hopefully, we can get something done on that front in the future. 
Jim Drewitz: Erica, let's go ahead and go to questions. 
Operator: [Operator Instructions] Our first question comes from Edgar Arnold. 
Unknown Analyst: Really not a question, just a congratulations on another good quarter. And Craig covered the question I was going to ask about mergers and acquisitions and that was good since we're into a high spiritual time with basketball. That's all I'll say. 
Clark Stewart: Thank you, Edgar. We appreciate all your support. 
Operator: Our next question comes from David Elfenbein. 
David Elfenbein: Question for you regarding the Avionics business, You guys had a press release earlier in the quarter or in the year talking about some restructuring going on out there. Can you talk a little bit about what we should expect the overall cost to be reduced by and how this ultimately makes the division look on a go forward? 
Craig Stewart: I think, David, we're constantly and we've been actively, over the last few months, looking at how to make sure that if the revenues have declined, of how we make sure the costs stay in line with those revenues and in terms of reducing overhead. And you got 2 options, you can either have more sales and you can need to grow the expense side of it with the sales or you can, if they're flat or declining, you got to figure out how to operate it more efficiently. At this point, in terms of the exact numbers of what it's going to generate, I'm not 100% sure, but we are in the process of getting those lined up and we're very, very confident that we'll get that done here in the near future. 
David Elfenbein: Will you be able to shed some light on the ultimate cost savings as you move through the process? 
Craig Stewart: Absolutely. And I -- as we get further into it and probably by the next conference call, we can talk a lot more about it. 
David Elfenbein: Okay. Then just this one more follow-up. With regards to the lumpiness in the various businesses, it seems that in each of the past 4 quarters there's been 3 different divisions at different times that have basically taken away from the expectations of earnings, right? Probably, this quarter was the Modification business where the lumpiness took away basically a full $0.01 of expected earnings. Last quarter, it was the, I guess, something around maybe the casino or some legal issue. And then before that, it was the Avionics. What are you guys doing to try and make it so that we can have quarters in this company that aren't individually affected? So meaning, are you doing anything to restructure management in any way to try and make sure that these types of blowups don't happen on a recurring basis? 
Clark Stewart: I don't think that we're having management blowups. I think what's happening is that if you look -- if you actually studied the details of our backlogs, you'd find out that they're very erratic. They've been that way for 20 years in the Airplane Modification and Avionics business. It's a strange business. If you look at Wichita, our economic patterns, you'll see that pattern has been there since World War II. And they hire people and lay off people and they -- all over the place in Wichita and that pattern is not something that anybody really is controlling. It's a function of a whole number of things, a lot of it is military spending. Some of it is the attitude of the consumer which says "I can get rid of my expensive airplane easier than anything else I can get rid of " or "I can stop buying avionics" or "I cannot make this modification." And so if they have a bad week this week, then they don't issue the order that we thought they were going to issue. And I've talked in the past about we have a book full of a backlog of orders that are stacked up there and some of those are 5 years old and you don't want to throw those out because, sure enough, that guy that you throw out that you quoted 5 years ago and you may have even an written an order, but no deposit, all of a sudden shows up on the doorstep and says, "Here's the money, let's do this." And that is the lumpiness that you see in that part of the business. The military is a little longer lead time. That's about 1 year ahead when the business finally washes down to us from all these political and policy decisions that are made relative to the spending for support of foreign countries and relative to the spending for our own military. So that's the special missions business. And so the answer, David, is I looked at that and tried to work on that and the people in Wichita told me, "No, it's not going do you any good to worry about it. You got to figure out how to deal with it." Because what was happening when I first came here, they'd fire 20 people and hire them back 6 weeks later. I said, "How can you do that?" So that's how it works in the market in Wichita. So what we decided the game plan had to be was if we have a trend going as these lumps occur, we want to make sure, that overall, our trend is up. And it's got to be generating more income and more cash flow and that's really the way that we look at this thing, is that we got to keep that trend line going up on the overall basis and that's what we're working to do because in the short term, you're going to drive yourself wild with those monthly and quarterly bumps. So that's the best answer I can give you. 
David Elfenbein: I had a follow-up, but should I get back in the queue or not? 
Craig Stewart: No, go ahead. 
Clark Stewart: Go ahead. 
David Elfenbein: Okay. So in your press release, you guys talked about -- sorry, just lost earlier [ph], here we go, you talked about the nearing completion of the STC approval for, I guess, Avionics in Part 25 airplanes and also the other piece associated with the JET autopilot boards. Can you talk a little bit about timing and what your expectations are around that piece of business? 
Craig Stewart: I think we're -- from additional Avionics and that net to the Part 25 STC we're working on, we're probably looking at a May time frame for getting an STC completed. We're about to go into the flight testing phase and then we'll wait for the approvals from there. So that's probably looking at a May time frame. The autopilot boards, we're in the process of starting the marketing effort for those. I think we're getting close to a point here in the very near future on autopilot boards to see what kind of market we've got there. The downside of that is that's for an airplane, that recent aviation bill that got signed by the President on these older Learjets that aren't Stage 3 noise compliant. It says that they can't be flown after December 2013. So that adds an additional challenge for those airplanes. And those will have to -- we're more looking for the international market on those. And most of those airplanes, I think will either -- some of them will get parked, but some of them will go to South America and Mexico where they don't have that restriction on them. 
David Elfenbein: So in terms of the scale of the opportunity with these 2 items, do you have any idea of what you -- or what are you guys modeling in terms of what you think this can generate in annual, either sales or margins? 
Craig Stewart: I don't know that -- I don't know that we've got -- on special and autopilot boards that we've got a full idea of what the markets' going to bear on those. From an avionics standpoint and the Garmin products that we're working on getting STCs, you've got potential out there to do a whole bunch of them. You're talking probably in the range of $75,000 to $100,000, maybe $125,000 for each project that you do on these airplanes. There's 400 to 500 of the Lear 35 line, which will be the next step in the process. And so I think you get any significant portion of that market to do an upgrade on the Avionics, and you're looking pretty good. 
Clark Stewart: The answer to your question on the boards, is we have set -- we're trying to complete 30 sets. If we average $30,000 a piece, that would be the cost of the product. Now that doesn't tell you the real answer because we don't know the answer. Once we get the airplane captured, the additional business may be the Avionics that Craig's talking about. It could be a whole number of things. So we got $1 million worth of sales of those boards by themselves and what we have built and should have ready to go here in the next 2 or 3 months. Now the question is, how much additional business? We can't answer that  because what we really do, it's kind of like the RVSM situation. Once you got the airplane in their, you've got a certain amount of work that's going to get done to improve the airplane and enhance all the features. And what this really is, is a lead into future business with that particular customer. So we really can't tell you that -- tell you how much money we might make in revenue or profits. We know that we'd make money on $1 million, but that's just kind of a teaser, if you will. 
Operator: Our next question comes from Tim McMillan [ph]. 
Unknown Analyst: You've mentioned in the last call or 2 about the 400 acres surrounding the casino in Dodge City. Is there still continued commercial interest in that? And are you getting any kind of reasonable timetable as to when progress might come about on that, on those 400 acres? 
Clark Stewart: First, Tim, thank you for the question. Didn't expect to get the retail development question, but the answer is yes, we have activity on the property. It's been -- it's being included in a STAR Bonds project in Dodge City of the nature of the legends up here in Kansas City, Kansas. And there are retailers interested in considering building new stores, I guess they call them major box stores and for that area out there, and I don't know, but I would say that, that's opening in one of those stores is probably at least a couple of years away, by the time they get it financed and built and all that stuff. But we are supporting that and we have some development plans that have been made. The city's hired consultants to do STAR Bonds and all that kind of thing. So the answer -- it's a timely question. Probably the best answer I can give you is 2 years from now we need to see what's resulted, but it will change the landscape of that part of Dodge City substantially. 
Unknown Analyst: You think your initial plan is to sell the land or develop it yourself and then lease it? Or is that still yet to be determined? 
Clark Stewart: That's all within the STAR Bond package. I don't know the answer. 
Unknown Analyst: What do we carry those 400 acres on our balance sheet at? And what's the cost on that or can you say that? 
Clark Stewart: I don't know that I have that available, do you know? Yes, Angela thinks it's $400,000. It might be more than that. 
Unknown Analyst: $400,000? 
Clark Stewart: Yes, it's not a whole lot. 
Unknown Analyst: Okay. And again, with our partner, we start paying -- As I understood it, we start paying -- we're paying $176,00 lease for the casino and that's -- we do that for a number years going forward? 
Clark Stewart: We're already paying $385,000 roughly for the land building and equipment that's in there. It's part of the normal build-to-suit type environment retail. If you imagine a retail store shopping center development, that's what it all looks like. These are the intangible assets that are not like the land and building. And yes, we agreed that we'd start paying in March 2012 for a 5-year period and the payment build into the lease schedule in the 10-K that we filed 1 year ago shows about $180,000 a month. We started it 2 months early, and the actual payment is $176,597 a month and it goes for 60 months. And that generated what we term the capitalized lease that we -- that I described earlier. So there's nothing really different than what we had 1 year ago, except that we're now putting the details on it and showing as we -- when we started the real payments. 
Operator: Our next question comes from Roy Carroll [ph]. 
Unknown Analyst: Clark, I sent you an e-mail on January 24 asking about a possible 1% stock dividend to the faithful shareholders from the 600,000 shares we currently had in treasury and I just wondered if the board discussed that or had any thoughts along those lines? 
Clark Stewart: I understand that. I don't -- I do recall some of your e-mail, but I would tell you on the treasury stock that those shares exist as treasury shares, but they are no different than a share that has not been -- if we issued those or did anything with them, it would be like a brand-new share and it would just be an exchange of ownership and the 600,000 would go away and we'd issue brand-new shares to somebody else. The balance sheet numbers would not change except the 600,000 would go back into the public market. Right now, there's nothing we can do with the treasury shares except they sit on the books until we cancel them or retire them and then -- they really aren't -- they're like -- they're not tradable shares. They're not registered shares as such or anything like that. The SEC requirement is if we issue them, they are issued just as if we issued a brand-new share. So there really isn't any difference between that and the new share. 
Unknown Analyst: They're already in the outstanding share balance, is that not right? 
Clark Stewart: Right. And that's why they're deducted because they really aren't outstanding. And they're not in the earnings per share calculation, either. They're subtracted from that. 
Operator: Our next question comes from Matthew Miller. 
Matt Miller: Just so I'm a little bit more clear on the lease payments. So in the quarter that just ended, the profit from the Gaming Facility you mentioned is $1.4 million. Going forward, that would be $1.4 million less $176,000 times 3 months, is that how you see that? 
Clark Stewart: Not quite. In fact, on the income of $176,000, in the month of January it was $164,000, okay? $164,431. Now if you -- of that number, $92,789 was imputed interest. That $92,000 will drop to 0 over the next 60 months. So it will be slightly less each month. So the biggest hit we'll have from that is the $164,431 per month. Now the effect on -- so we multiply that times 3 and that's about $500,000 -- $498,000 a quarter or something like that. 
Matt Miller: And that number would come off the profit from Gaming Facility number, the $0.4 million that was reported for this past quarter? 
Clark Stewart: No, not all of that. Only $320,000 would come off of that because one $164,000 has already been deducted. 
Operator: [Operator Instructions] Our next question comes from Darrell Kravitz [ph]. 
Unknown Analyst: I may have missed it. I had backed away from the phone here a bit. But can you talk about that expansion out there, Boot Hill again? I kind of look around out there on the Internet and I don't hear about that. I know the hotel had opened up. But again, the floor, table? 
Clark Stewart: Okay, here's what's happening. I -- let's see, the end of April, we are -- there's an expansion area in the bar. The bar was originally planned to double in size. Instead of doubling the size of the bar, we're using the other half to make a poker room. And that poker room will have maximum capacity of 5 tables. I think, we're really putting in 4 right now. So that will have -- that should be there by the end of April, first of May or something like that. In addition to that, we are building a high limits slot room where the retail gift shop was. We're -- and that's in process. We've moved the gift display cases and the gift items to the snack bar and the restaurant. So you can buy your Boot Hill t-shirt or your Boot Hill hat right there as you walk in the restaurant or as you walk in the snack bar, fireside, I should call it. So we've moved that out. The construction is going on. Last time I was in there, which was a week ago, the walls are -- they're mudded in and they're doing what they're supposed to be around all the wires and cameras and everything else in there. So that will open long before April, end of April, first of May, that will be the first item. We are reworking, converting is the word, games on the machines. It looked like a week ago, Monday, we probably had 32 machines being replaced, refurbed, whatever you want to call it, converted to new games, and we're in the process of doing that probably on well over 100 of them. It's about 2 years into the project and a quarter of them probably need to be refurbed, replaced, repaired, whatever you want to call it. Changed the face, changed the cabinet, changed the games that are in there and make a new presentation to the patron. So that's underway. That will continue for a year, that upgrade. All the way through next -- a year from April. The new expansion area for the additional machines is in the process of being -- it's opened up, construction is going on in there. That should be open and ready to go by September of 2013. It'll include some space for keno. In addition to more slot machines, we'll have a tournament area and some additional administrative space. Not very much, but it'll have extra restrooms, all kinds of that. And the connection will then be from the casino into an opening into the -- a connection of about 50, 75 feet between us and the event center, I mean, the casino and event center. The casino will end at our wall, but that connection will be there for the city to use for whatever they do with it. So that's the real Phase 2. Forget anything. I think we're okay. 
Operator: Our next question comes from Anthony Intelgalea [ph]. 
Unknown Analyst: It's a two-part question. Clark, question number one is sometime back you were dealing with a marketing firm to make the public more aware of the company. Is that an ongoing situation? And are you satisfied today with the arrangement? 
Clark Stewart: Yes, we think it's an ongoing situation. 
Unknown Analyst: Pardon me? 
Clark Stewart: Yes, we think it's an ongoing business and we are pleased with what they've done. They've given us some guidance and some direction that I think is helpful and I think, hopefully, you all are feeling that you have more knowledge about our plans and our progress than you did before. So that was our objective, is to keep you all informed as much as we can to make sure you understand what our business really is and that we're really planning on long-term growth and long-term profitability. 
Craig Stewart: Anthony, this is Craig. And I think we participated in the Sidoti Micro-Cap Conference in January. We've had numbers of meetings with both retail investors as well as smaller institutional funds. So we are in process of continuing to get that story out there, and the story that we think we have in terms of a good growth story and a good company here in the Midwest. So we're actively out there promoting the company and thinking it's going the right direction. It's a slow process to get the awareness up of the company and what we're doing out here. But I think we'll make it. We're going in the right direction. 
Unknown Analyst: Very good, indeed. My second part of the question deals with the asking if whether the board has considered a reverse split at any time being that it would place the stock at a higher price making it available to more margin players in the market and again, attracting more public attention. 
Clark Stewart: I'm -- I think I'm in favor of that. I'm not sure what the timing ought be. I think that, that's what we're going to have to do eventually whenever our market advisers tell us. We've done enough education to really make it work. We don't want to just do a reverse split and have the value go down. We want the shareholder value to go up as a result of that and I'm not, quite frankly, up to speed on what the timing really ought to be. I know that it needs to happen and we'll do it when the timing's right and that's my best answer to you. I'm behind it. I just don't want to lose shareholder value in the process. That answer your question as best I can. 
Operator: At this time, we have no further questions. 
Jim Drewitz: Clark, go ahead and close it off. Great call today, so go ahead and say goodbye. 
Clark Stewart: All right. We appreciate all your support of the Butler National Company and all of its subsidiaries and complexities and challenges, but we are working on a long-term trend to improve the profitability and the value of the shareholders' equity and that's our objective and we appreciate all your support. So I would say that we are finished and ready to wind it up. Jim, thank you very much. Thank you, Craig, for your help. 
Craig Stewart: Thank you everybody for your attending. We appreciate it. 
Operator: This concludes today's conference call. Thank you for attending.